Anja Siehler: Thank you, Serge. And also, a very warm welcome from the Nordex team here in Hamburg. Thank you for joining the Q3 2024 Nordex conference call. As always, we ask you to take notice of our safe harbor statement. With me are our CEO, José Luis Blanco; our CFO, Ilya Hartmann; our CSO, Patxi Landa. All three of them will lead you through the presentation. As usual, afterwards we will then open the floor for your questions. And now I would like to hand over to our CEO José Luis. Please go ahead.
José Luis Blanco: Thank you. Thank you very much, Anja, for the introduction. I would like as well on behalf of my colleagues to welcome you to the call and appreciate your participation. I would like to start with our -- as always our executive summary for the first three quarters of 2024. In the first three quarters of this year, we secured an order intake of 5.1 gigawatts compared to 4.9 gigawatts last year. Pricing again continue to be stable with average selling price of around €0.9 million per megawatt compared to €0.85 million last year. We continue to expect a strong order intake momentum in Q4 and also in 2025, driven by a positive market trend in Germany and rest of Europe. We also see decent momentum in Canada and US, and other non-European markets. Our installations grew quarter-on-quarter as expected and amounted to around 5 gigawatts year-to-date. This is slightly lower than in the previous year as installation drivers have normalized after some catch-up effects in the last year. As a result, total installations in 2024 are likely to be in the range or a bit lower than in 2023. Regarding our financial performance in the first three quarters, we developed according to plan. We saw another improvement in gross margins growing to 21.6% in the third quarter compared to 18.3% in the same period one year ago. Our nine months EBITDA margin reached 3.7%, which is a substantial improvement over the last year. And our absolute EBITDA has reached €190 million with a gradual increase each quarter as we had anticipated and communicated. On the liquidity side, we ended the quarter with €160 million of free cash flow. This means, we are now breakeven on free cash flow basis year-to-date and very likely to end the year with a material positive free cash flow on the back of a healthy expected Q4 execution and order intake. As a result of this, we closed the quarter with a healthy level of €962 million of liquidity. In terms of other updates, we have received a TÜV SÜD certificate for our N175/6.X turbine and installed the first prototype in Germany. It's a very important milestone in ramping up the pipeline for this turbine. In terms of our guidance and outlook, we now expect to end the year closer to the top end of the EBITDA margin range, despite higher share of legacy orders in Q4. And we remain on track to achieve our midterm 8% EBITDA margin target as always subject to stable market environment and stable pricing, like we see today in the industry. Finally, given the election results in the US yesterday, I would like to make a couple of observations. First, we remain confident on the US onshore wind market in the medium term due to its growing energy demand. And second, we also keep in mind that US has little impact on our financial performance either this year or next year as we are just in the process of reentering the market. And now, I will hand over to Patxi for markets and order intake.
Patxi Landa: Thank you, José Luis. In the first nine months of 2024 order intake grew by 4% to 5.1 gigawatts thereof 1.7 gigawatts was booked in Q3. It's in January and September 2024 customers ordered a total of 905 wind turbines for projects in 23 countries. The strongest individual markets were Germany, South Africa, Canada, as well as Lithuania and Latvia. Pricing continued to remain stable. It stands at €0.90 million per megawatt year-to-date which is similar to last year. For the coming quarter, we continue to expect a strong order intake with stable pricing. And without guiding, we expect total order intake for the full year to be at least on a similar level or higher than last year. Moving on to the next slide. Our total order book remained strong with €11.5 billion at September end. Thereof, turbine order book increased to €6.9 billion during the first nine months of 2024 compared to €6.7 billion same time last year. Out of this order book, the majority of orders will be installed in Europe followed by Americas and the rest of the world. On the Service side, the order book increased by 29% year-on-year and stood at €4.6 billion at September end. This is mainly a reflection of growth in our turbine business in the last two years, that now starts flowing into the Service order book and also resulting from portfolio effects and higher pricing. Moving on to the next slide. Service revenues grew by 13% to €543 million in the first nine months. And as we communicated before, EBIT margins have started to improve and are on path to return to our normal margin levels of around 18% to 19% in the next 12 to 18 months period. We expect our revenues to keep increasing at a healthy pace, driven by increasing Service order book with longer tenors and increased installation activities. The average availability of the fleet was stable at 97% and the average tenor of Service contracts increased to around 12 years. And now, I'd like to hand over to Ilya for financials.
Ilya Hartmann: Thank you, Patxi. And always I will guide us through our latest financial figures, starting with the income statement. So, in the first nine months of 2024, sales increased by 14% to around €5.1 billion compared to the previous year period. This was driven by higher activity levels especially in our factories, improved margins and growth in Service revenues. Gross margin reached 20.2% in the last three quarters compared to 13.6% in the same time of the previous year. We again were able to deliver strong gross margins, with Q3 2024 reaching now 21.6%. As a result and mentioned earlier, we achieved an absolute EBITDA of €190 million in the first nine months compared to minus €67 million in the previous year period. This translates into a significant margin improvement from minus 1.5% in the first months -- nine months of 2023 to plus 3.7% year-to-date in 2024. On a quarterly basis, absolute EBITDA was €72 million, representing an EBITDA margin of 4.3% in the third quarter. So given the strong margin performance so far, we'd now expect full year EBITDA margin to come in near the top -- at the top end of our guidance range and this is despite higher share of legacy orders being executed in the last quarter of this year. And with this, let's jump to the balance sheet. It's overall structure remains in substance unchanged when compared to year's 2023. We ended the third quarter with a cash level of €882 million. And when we add the cash facility of €80 million, we get to the overall liquidity level mentioned by the release of €962 million at the end of September. Working capital remained stable Q-on-Q, as we're preparing for high installations and activities in the fourth quarter. And then, we go to the working capital slide where the ratio stood at minus 7.3% in absolute numbers minus €521 million and essentially unchanged from the previous quarter. We expect working capital to improve in Q4, driven by higher order activity and also driven by optimizing our activity levels. For 2024, in total, we continue to expect a working capital ratio below minus 9%. And now, let's move to the cash flow slide. Cash flow from operating activities before net working capital stood at €336 million, a clear improvement year-on-year when compared to the minus €249 million at the end of September last year. This result reflects the normalized operational setting and the profitability levels of our orders. Despite some cash outflow from changes in working capital, cash flow from operating activities in total amounted to €112 million. Cash flow from investing activities totaled around minus €112 million as well, slightly higher level compared to the previous year period, reflecting the execution of our investment priorities in line with our planning. As a result also mentioned by José Luis, we're able to break even on the free cash flow basis in the first nine months of 2024. And therefore, we expect that we'll end this year with substantially better free cash flow compared to last year where we ended at a plus €20 million. And with that, let's move to the CapEx slide. CapEx spending amounted to around €111 million in the first nine months compared to €83 million in the previous year period. The main priorities very similar were the investments into blade in nacelle production facilities and tooling for installations and transports including, the reactivation of the Iowa plant in the US and the development of the new turbine type for the US market. That brings me already to my final slide, which is the capital structure. So net cash levels improved to around €583 million another step up Q-on-Q. Based on our Q4 expectations, we also think that this number could improve further by year-end. But again let us all bear in mind, being a project company, working capital swings during quarters is part of the typical business cycle. And finally on equity ratio, we improved to 18.5% and remain on a similar level when compared to the end of last year. And with that, I'll hand it back to José Luis who will guide you through the operational performance in the first nine months.
José Luis Blanco: Thank you, Ilya. So moving on to operational performance. Installations have been increasing quarter-on-quarter with around 2 gigawatts installation in the third quarter. This brings total installations to around 5 gigawatts in the first three quarters as mentioned before, slightly lower than same period of previous year. As you'll remember last year, we had a lot of catch-up effects due to the cyber incident and other issues from 2022. Now we come back to normal environment and normal activity levels. Important here to stress that we do not have any material delay or any LDs beyond our normal operation, finally and this is a great news. In the third quarter, we were able to install 352 turbines bringing us to 944 turbines in total for the first three quarters of the year. Most of the installations took place in Europe followed by Latin America. On the production side, turbine assembly and blade production increased by 1% and 14%, respectively in the first nine months compared to last year. And moving to the end of the presentation before Q&A, guidance for this year. So no change to the guidance, but given a strong performance in the last nine months, our margin is likely to end at the top end of the EBITDA margin guidance. And finally based on our visibility as of today and the positive momentum we currently see, we are also reaffirming our midterm profitability EBITDA target of 8%. And with this, I will hand it over back to Anja to open the Q&A.
Anja Siehler: Thank you gentlemen for leading us through the presentation. So I'd like to ask Serge to open the Q&A.
Operator: [Operator Instructions] And the next question comes from the line of Constantin Hesse from Jefferies. Please go ahead.
Constantin Hesse: Thank you very much for taking my questions. I'd like to start with one. I wanted to understand a little bit about operating leverage at Nordex. So I mean, obviously, and I'll get to this question next, which is the German collapse, the government collapse, and as well as Trump in the US. It's at the moment relatively hard to see volumes going all the way to 9 gigawatts, which is according to you what you need to get you to the 8% EBITDA margin. So if you stay at this level that we saw last year, this year again at about 7.5 gigawatts in terms of the margin potential here that we're talking about, I mean you're probably going to deliver something around 4% today including legacy projects. If we exclude these legacy projects, are we talking about something around 6%, 7%? Is that kind of a realistic margin at this volume level? Or could it be higher than that? That's my first question.
José Luis Blanco: Thank you very much for the question, Constantin. At this moment, we are working in the budget for next year, so too early to say. We will guide the year in February. We are as well seven weeks to go with substantial order intake expected, but we need to land it. And this order intake in the remaining of the year and eventually the order intake in Q1 next year are going to drive very much the volume of next year. And you named the building blocks. If legacy projects are over, profitability on a like-for-like will improve. A little bit improvement in the service business and a little bit growth from the service business. But without guiding next year, which is too early we don't see 9 gigawatts next year. But we definitely see with all the disclaimers a better year than this year.
Constantin Hesse: That makes sense. Can I just confirm one thing. I know José Luis, the legacy projects on average we know they were something around 1 to 1.5 gigawatts. The average profitability of those were basically zero right? They weren't loss-making, but they also weren’t profitable, is that correct?
José Luis Blanco: No, no, no. They were less profitable than the average profitability but not zero. I mean in total could track profitability let's say 1% plus, minus something in that range. That's it.
Constantin Hesse: That makes sense. Perfect. Thank you. And then second question around, obviously, there is a lot going on geopolitically speaking. The German government, the potential collapse now with Scholz calling for a vote of no confidence in January so potential early elections in Germany which is a key market for you; Trump in the U.S. now and the potential risk to the IRA there. So what could this potentially -- so let's start with Germany. What could this potentially mean in terms of the transition? Because I think the CDU has already said, that they would try to refocus on nuclear and even potentially extend the EV target. So it seems that there is a little bit of pushback on basically the renewable momentum that we're seeing at the moment.
José Luis Blanco: So let's just start with Germany. Honestly, we don't see any difference, regardless the elections are in April or in October. I mean, this is -- legislation is currently in place until end of 2026. We are very happy. And we are satisfied on landing good volumes. And we expect this to continue in this year and this year and the year after. So no material impact if the elections are anticipated one or two quarters, I mean that doesn't change the big picture. Regarding the -- who will be elected and what the new government might do in Germany its super early to say. I think nuclear is a choice, in many -- some countries are taking. But honestly speaking, this is a 10 to 15-year lead time. So I don't think this will impact short-term or midterm the energy demands of such a powerhouse country that needs to get power and cheap power and fast power. And cheap power and fast power the name is Wind Onshore. So I'm not very -- honestly, not very concerned. Regarding U.S. when we decided to reopen U.S. branch, this was based with a long-term view on the country, regardless who might be elected in this election or in the next. The country again is a growing economy, electricity demand driven by growing economy and driven by artificial intelligence and wind onshore is part of the solution. So too early to say, but the fact is that for us has no impact this year, has no impact next year, limited impact the year after according to our plans regardless even in the case of a worst-case scenario. So we keep calm and with a long-term view. And I don't think honestly, if you ask me in the previous term of President Trump, we had record high volumes installed in the U.S. market. So let's stay calm and see what the actions tell. And based on that we adapt a little bit, but I'm not concerned, neither.
Constantin Hesse: Yeah. I mean, you obviously extended the PTC and the ITC but my concern is just around the manufacturing credits. If they decide to cut these potentially it still makes sense to go ahead with Iowa?
José Luis Blanco: It does. It does.
Constantin Hesse: Okay. Thank you very much.
José Luis Blanco: But we will evaluate when the moment comes. I think in the big context, I think we can digest accelerate slowdown. We have a quite diversified supply chain. So we can deal with duties. We can deal with different kind of scenarios. We will adapt to the scenarios. And it's very preliminary, but I wouldn't say this is going to row the boat.
Constantin Hesse: Great. Thank you so much.
Operator: Next question comes from the line of John Kim from Deutsche Bank. Please go ahead.
John Kim: Hi. Good afternoon. I'm wondering, if we could focus back on ITCs and PTCs for a second. Once you're fully up and running in Iowa, what exactly will it encompass in terms of completion on parts? So I imagine nacelles, but how are you treating blades for the U.S. market?
José Luis Blanco: U.S. branch is only designed to do nacelles place we are planning to sort from other non-U.S. plants. And the volume will depend very much on the demand capacity -- we have sufficient capacity to do more than two gigawatts which is not in our plans as of today. So as we speak, we are executing one project out -- only one project 150 megawatts in U.S. this year which is very little in the overall 8-gigawatt volume. And this project has no impact, whatsoever, regardless any decision on duties or – and the rest as mentioned, we will accelerate or slow down the Iowa plant based on demand.
John- Kim: Okay. Helpful. Just a follow-up question on the growth in provisions. Can you help us understand whether the growth in provisions is increasing conservatism or – on the back of a relatively high level of new installs? Or is it a change in your policy on how you release those?
Ilya Hartmann: Yes. I'll take that one for Luis. So John, yes, that's correct for quite a portion of those. I would say although additions probably half of those are attributable to that – to those who are conservative views when we do warrant provisions for ordinary business. And then again we have increased an almost an equal amount according to the live discussions we have with our customers around the legacy products so the old discontinued turbine some of them in the US. So we're making advances there. So we're having a bit more headroom provided for in the Q3 as well. But there is no relation to any new issues. There is no Delta platform-related provisions in that case. And of course, as I think is clear, this upper end of guidance view that we take has already taken all of this into account. There's no risk from that side.
John- Kim: Great. Thanks so much.
Operator: The next question comes from the line of Sean McLoughlin from HSBC. Please go ahead.
Sean McLoughlin: Good afternoon. Thank you for taking my question. Firstly just on the demand picture. I just wanted to understand how much is Germany of your confidence on the strong demand in Q4? I mean which other countries should we be looking at that might make up material order intake in Q4? And I suppose the second part of that question, you mentioned demand also in other regions. How much are you seeing Chinese competition in markets outside Europe outside the US? And yes which markets let's say are undergoing a different kind of pricing structure as regards yes turbine orders? So that's the first question.
Patxi Landa: Luis as I said before, we are expecting a significant quarter from an order perspective. We don't generally guide geographies but I can tell you as a flavor a significant about one-third of the orders that we are expecting in the quarter will come from Germany. Very stable a myriad of small – given the structure of the market contracts. So we are speaking about dozens of contracts that are very mature and that will come in the quarter. And then in the rest of the European geographies I would say all major markets are contributing also to a very strong quarter and this is Turkey, France, Italy, Greece, the UK, the Nordics, Spain significantly contributing as well, as well as other geographies. So we are stating also deals out of Canada and other geographies. So very widespread. And share of the German orders is about one-third in the quarter.
José Luis Blanco: With respect to the second question, we see Chinese competition no change to previous quarters mainly in Latin American countries and also some of the African countries, where we are operating in South Africa no material change to that. We do not see Chinese competitors still in Europe with very, very few exceptions. And hence no material change with respect to previous quarter's communications.
Sean McLoughlin: Thank you. That's really helpful. The second question comes on just on Service. Understanding cost inflation I mean your Service margins are trending up. How are you viewing the inflationary side of Service contracts that you're signing today? Are you able to pass through higher costs to customers?
José Luis Blanco: Yes. We are. I think we went through a phase of adopting from many years with very low inflation to few years with very high inflation. So there is a timing in adapting to that. Second the correlation is not always perfect. Then you react and you adjust to the new contracts and the new contracts are expected to deliver profitability target. And as a result we expect the Service business on top of growing low-double-digit year-on-year to increase profitability year-on-year.
Sean McLoughlin: And would it be too early for you to be having it 18% already next year? Or is this more a multiyear target...
José Luis Blanco: Too early. I would say too early but let us wait a little bit until February. Nonetheless, I don't think in February we are going to guide profitability for Service of the year but we see gradual increase in profitability in Services.
Sean McLoughlin: Thank you so much.
Operator: The next question comes from line of Xin Wang from Barclays. Please go ahead.
Xin Wang: Hi there. Thank you for taking my questions. So my first one is on the average turbine size installed. So I noticed this has jumped to 5.7 megawatts per unit in Q2 from 5.1 megawatts the quarter before. Would you be able to discuss the reason and implication of this and whether this is structural please?
José Luis Blanco: No, I think it's project business. And depending the geography, I mean of course the bigger the shares, Germany has in the total portfolio, the bigger the turbine will be. Because Germany requires big nameplate turbines and very tall turbines, high borders, but depends very much location portfolio of installations. But the trend is definitely towards bigger turbines.
Xin Wang: Great. Thank you very much. So the second question, I want to follow up on the warranty provision we discussed just now. Can you maybe let us know, how much of this is structural? I think you previously commented that the normal level is probably 2.5% of sales. Now we're getting to close to 8%. Any comments there?
Ilya Hartmann: That one is when you do a rolling math. No, I would say to my earlier comments on those two blocks, those increases for derisking business and balance sheet which is now for the ordinary course of business booking more provisions and the other one on the platform. Just here to calibrate you a bit let's say the additions in Q3 basically were roughly 50-50 between those 2, which is the ordinary business more conservative view and the additions for our live conversations with customers.
José Luis Blanco: But if I may complement Ilya, the key message regarding the provisions is that, we are satisfied with the year. So we have some possibilities to entertain commercial discussions to accelerate the fixing of legacy products that the company doesn't sell to invest in customer relationships and this hopefully will drive future order intake improvement. And to mention as well that this is related to legacy products that the company doesn't sell. We are quite happy with the performance of the products that the company is currently selling from that point of view.
Xin Wang: Thank you.
Operator: The next question comes from the line of Ajay Patel from Goldman Sachs. Please go ahead.
Ajay Patel: Good afternoon and thanks for taking my questions. I have 2. So the first one on volumes. I just want to understand, do you expect this year to be down on installations? And I guess thinking into next year, would you expect installation growth? And then if you maybe answer that and then I'll come back with the second one just slightly on a different topic.
José Luis Blanco: No. Installation is a good KPI of course. But in terms of activity which is a combination of production, installation, I think this year will be ballpark similar level. Slightly lower, but not materially lower is what we expect today. In terms of activity in the plants should be slightly higher, but ballpark a repeat year. And depending the order intake in Q4 this year and Q1 this year activity in the next year, might be in the same ballpark or slightly increase.
Ajay Patel: Okay. And then the second question was around cash flow. So good net cash number at this quarter. You look at Q4 last year and you generated €300 million of free cash flow. The margin implied for Q4 in the guidance seems to be higher than last year. There is slightly higher investment too. But what would be the offset for you to be almost making what looks like about €900 million of net cash by the year-end? The only reason I flag it is that your market cap is like €2.8 billion, so it's a sizable number. And I just wanted to make sure that there isn't an offset or something -- some other consideration to think about in doing that analysis.
Ilya Hartmann: So I'll do the following with the typical pre-caveat of not guiding for cash flow and the likes. If you take that working capital ratio of the minus 7, 7.3 right now and our confidence of course in reaching that below minus 7 by full year. So that swing alone will help and drive that cash flow through the building block. You can calculate for yourself. And then of course, we'll continue to generate cash flow from the operations as well. But then to the earlier question on legacy projects, there's random patterns. So, in Q3, we had more -- we had less legacy projects in execution; in Q4 we'll have some more of those. So, this is why we're seeing that at top end of the guidance. And if you put all that together, you do have the building blocks. And I would say the number you're playing to me is slightly too high.
Ajay Patel: Okay. But in terms of order of magnitude in the right direction right?
Ilya Hartmann: Directionally that's -- yes directionally that's a it's a good assumption.
Ajay Patel: Okay. Fair enough. Thank you very much.
Operator: The next question comes from the line of Christian Bruns from Montega. Please go ahead.
Christian Bruns: Thank you. Good afternoon. Thank you for taking my questions. A lot of questions have already been answered on the U.S. Chinese competition and Germany. And -- but my question is the stronger increase in gross margin you showed to 21.6%. What do you think it could -- I think it will go further but what could be the level which is realistic? Is it more 23% or even higher? What do you think you could get in gross margin?
José Luis Blanco: Well, I think we are selling at 8% EBITDA. And then this indicator doesn't fully correlate with that because we report we don't report cost of goods sold. So, depends a lot the make of like the strategy because if you make more, if you have more FX and higher gross margin, so I feel slightly uncomfortable to give you an answer to that. But Ilya do you...
Ilya Hartmann: Yes, I think that's true. But I think let's give some help here. I think it's about a trend that's--
José Luis Blanco: The trend is improving. I mean the trend is improving. And with the visibility we have for next year we see a better year than this year.
Ilya Hartmann: Clearly. Clearly.
Christian Bruns: Okay. And may I add a second question? Given your improving financial performance and I also see that the free cash flow a very positive swing in Q4. And as we expect further improvements in operating profit in the next year where would you go to is it would you consider paying a dividend? Or would you say we can have we can be more generous towards our suppliers and maybe sacrifice part of our working capital ratio for -- to get higher profitability? Or where -- could you give us a--
José Luis Blanco: Our key focus is making the balance sheet very strong in order to reduce the financial costs that we have in order to it's true that the financial cost is paid by the customers. But if we reduce the amount of bonds or the quantity of bonds because the balance sheet is stronger and we have a better cash position we might increase prices because it means that the customers can pay the bond plus the turbine. So, if we have a strong balance sheet maybe they can pay a little bit more for the turbine and not need the bond because they have a strong balance sheet in front of them. And I think that's the priority of the CFO. No, I'm talking on your behalf Ilya.
Ilya Hartmann: No, that's totally right. And also what the question implies we've been discussing actually this morning that yes, it's too early to answer that question. But at a certain level of comfort we might be actually exactly starting with that trade-off of being not so keen on the working capital stretch in order to reduce those financial costs absolutely. But I guess if we have that conversation again in one quarter or two then we have a much clearer view on this.
Christian Bruns: Thank you very much. This was very clear.
Operator: The next question comes from the line of William Mackie from Kepler Cheuvreux. Please go ahead.
William Mackie: Good afternoon, José Luis, Ilya, Patxi. Thanks. A few questions. Let's start top-down. Back in April the European Union launched under this foreign subsidies regulation these investigations into potential subsidization of turbines coming into Europe from Asia. And I think the scope of that investigation has broadened now. I suppose with your wind European -- wind Europe hat on or experience can you comment a little bit on how you see that investigation developing and when a conclusion might be reached? And what sort of protection might be afforded or leveling up might be afforded to yourselves and to other European wind turbine makers?
José Luis Blanco: Thank you for the question. I think we -- I mean as this is public officials we are not part of that investigation. And honestly, we don't know when this investigation might conclude and what the outcome of the investigation will be. What we see on -- in parallel of this investigation is raising concern in certain countries. An example is Germany where the government is in a consultation process with the stakeholders about national security implications. So those are the two initiatives that are ongoing, but I cannot comment more than what you can read in public information because honestly I don't have more information than that.
William Mackie: Do you see the German five-point plan broadening out and being accepted by other European nations as a key factor in...
José Luis Blanco: This is in discussion. Not sure if rest of the nations will follow, but they are noting that.
William Mackie: Thank you. My second question comes to your manufacturing strategy. When I look at your production of nacelles this year it's a very interesting shift in balance. It looks like German output in units is down 35%. Chinese output has doubled and Indian output is up nearly 20%. So -- I mean should I read from this that there is a permanent rebalancing of your manufacturing and production footprint? And if that's the case what sort of productivity or cost benefits have you achieved with that rebalancing?
José Luis Blanco: I think at this moment we are more in risk management approach than in maximizing and going for the best case scenario because in terms -- in times of uncertainty if you have the possibility don't put all eggs into the same basket. And this has consequences because we have underutilization costs that we are carrying but I think it's worth to invest that to have the possibility to do 60-40 or 40-60 depending how geopolitics, how tariffs, how the world evolves. So we are happy with the footprint India, China, Germany. And we have substantial possibility to do more if order intake comes which is one good thing of this investment in overcapacity. And the other is to react very quickly to changes in loss to adapt fast. So we don't plan -- at this point we don't plan to go fully in Asia or fully in Europe or fully in India. Every quarter we decide what the strategic quantity should be allocated to each geography.
William Mackie: Thank you. Two shorter questions if I might. One on markets. Two fast evolving and good potential markets seem to be Australia and Canada. Australia particularly seems to suffer low utilization rates and low prices. I wonder actually what the real opportunity is there. I see some very big sort of announcements that maybe ACCIONA is looking at a three-gigawatt Bellwether project and other things. I mean maybe a bit more color on how you see the Australian and Canadian markets unfolding. And the second question follow-up comes back to provisions. It sounds a bit like death by 1,000 cuts. Because we've had this legacy product provision issue now for I think three quarters. And so why is it that it's being drip-fed out rather than sort of wrapping up the scope of the whole problem and addressing it in one hit? Thank you.
Patxi Landa: I will take the first one. With respect to both Canada and Australian markets we have a very good optimistic view. The situation in Canada is that we are one of the leaders if not the leading OEM in terms of orders. Last year very significant activity across provinces. We continue to see -- so we have a positive view on the market in the mid-term. And given the situation that we have again as a leading OEM, we expect to harvest significant amounts from another perspective. Bear in mind, life cycle of those orders that execution comes and also being a northern latitude and with winter -- very harsh winters execution comes with a longer period than ordinary. So maybe 18 to 24 since order to execution, but we are very positive on the market. And very similar situation with Australia where maybe we have been slightly slower in entering the market, but we are -- already we have constructed a very large order for ACCIONA. And we have as we speak also significant amount of order opportunities given our strengths as a product and also great connectivity which is very important for our market. We bet on the market significantly. We also expect to have significant volumes in the short and medium-term in the market.
Ilya Hartmann: And then I think -- the other one -- I'll take the other one because I understand William's question. Let's be very clear those increases or 1,000 cuts as you called it is not because anything in the real world and the physical world has changed. There's no additional issues. No new assessments of any issues. It is really that especially in the U.S. market where and as we described the strategy the reentry is still one of our focus points. We want to really leave things behind us. On a public call, we don't want to go into too many details, because we don't want to give too many -- too much leeway. But this is about giving us some more headroom to close those things out. I think...
José Luis Blanco : That's the point. I think before we were executing as per our contract obligations and based on affordability. So. now as we are very satisfied, we are investing for the best interest of the company in customer relationship. Let's put it that way. This is the why and why now. So same issues, but I think it's a good investment for the company and shareholders investing in customer relationship and get this behind us the sooner the better.
William Mackie: Thank you very much. Super.
Operator: The next question comes from Sebastian Growe from BNP Paribas Exane. Please go ahead.
Sebastian Growe : Hi, good afternoon everybody. Thanks for taking my questions. Quickly on provisions again. Sorry for this, but we have seen two quarters where provisions went up quarter-on-quarter. One went down on the short-term provision side that is. We can only see the net provision build, so I would be interested in how gross additions have sort of trended throughout the year. And how that has eventually changed compared to 2023. So I'm currently interested in sort of what the net headwind from this provision build has been.
Ilya Hartmann: Yes, that's true. So let's take the gross -- thank you Sebastian. Let's take the gross additions part first. So and that is a good occasion to kind of come back to a comment earlier made by the colleague from Barclays is basically the gross additions are roughly 5% on the sales numbers. And I think if you think -- for the quarter, if you think of it in an annualized basis, we would now see them as slightly higher than in the last quarter. So landing somewhere in the range between 4% and 5% on an annualized value, that's what I think this will end up. And of course the more business we do those more cautious provisions in the ordinary course of business will continue. But then again, all this is baked in upper end of the guidance. None of this -- it's hard to predict the Q4 in terms of provisions. If we're only seeing this ordinary course of business nothing of that would change our view to that EBITDA margin guidance.
Sebastian Growe: Okay. Understood. And then when would you think then on the old turbines that will normalize or phase out? So and when -- what will ultimately be then the sort of right sustainable warranty provision percentage in the quarter?
Ilya Hartmann: Yes. I think in looking here also for the CEO, because he has mentioned in earlier calls. I think a normalized level of 3% of the sales of those provisions is what we still continue to have as an ambition. Now we will maybe take a bit to get there. So, let's call that a short midterm target. But next year we should already see again a clear step into that direction.
Sebastian Growe: Okay. That's helpful. And a technical question then. Can you help me understand how much is how this is booked really? Is this going into the Projects business? Or are you capturing that in service? I'm obviously interested -- I'm assuming the root cause beyond eventually than the double-digit growth that you mentioned before for service, if there's another opportunity which is just related and residing there with the provisions?
Ilya Hartmann: So the answer to where that -- the answer is both depending on what that warrant provision is for. Of course, if you -- now with that increased service fleet and the long-term contracts some is booked there. Some is booked in the new contracts where we do projects. So it's basically both.
Sebastian Growe : Right. And then the very last one on provisions. Can you also remind us of the provision cash outflow?
Ilya Hartmann: Yes. So, I guess, probably also coming back to the one. And you could say, and I've said it two times now. Those who are a bit more conservative cautious derisking, we'll have to see if at all to which amount. And the other one's for those technology topics that we discussed on the legacy that will be a program of at least I think two, three years over the next few years we will work out the...
José Luis Blanco : Yes, three years. I think we will eventually by 2028, we should have this behind us.
Ilya Hartmann: But of course, in a sliding scale there will be more at the beginning next year after the third year and then probably the last two years already with a much lesser amount.
José Luis Blanco : Yes.
Sebastian Growe: Okay. Okay. And then lastly just quickly around the backlog conversion and the year-to-date deliveries that you announced. So when I look at especially the German installation data then it seems they are flat at best. So I think rather down really until September basis. Is this really the key reason why your deliveries have been down so far year-to-date? And I was just interested in really more the higher level-view at Germany. Do you think the market is ready, be it from a supply chain and logistics perspective to cope with 6, 7-gigawatts, which we can easily take from the auctions? Or how should we think about them?
José Luis Blanco: That's well spotted, Sebastian. I think yes, one of the reasons of the delay or a slightly lower level of installations is customer delays, and in Germany is a part of that which affects tower production and lower recognition for tower production. We see a lot of improvements in the permitting and we see a lot of improvements in transportation. So the clear answer to your long-term question is, yes, I think the country will be ready for doing 6, 7, 8-gigawatts a year. But first the government, tackle the permitting issue where the country moved from 2 to 10 gigawatts of permitted projects a year. The next issue was transportation is improving not yet solved but the country has a determination to solve it. Otherwise, it doesn't make sense to permit 10 gigawatts of projects that the country needs and then have bottlenecks in transportation and only delivering 5 gigawatts. So this -- I'm confident that will be solved.
Sebastian Growe: Yes. And how would that play out then for you, because you can just see what you have in the books? And maybe you can also remind us of what the currency in terms of volume is already what you have on board? If you could just help us a bit around that corner. Part of the answer of -- sorry, the early answer you gave on the installations that should pick up quite -- you didn't say materially but the higher volume shipped to put it this way in 2025 over 2024 should be a function of Germany. I would just be interested in the slope for Germany in particular.
José Luis Blanco: I mean the impacts you know it. I mean -- and I mentioned at the introduction that these installation figures, do not trigger liquidated damages nor profitability decrease for the projects that we contracted that triggers late revenue recognition and margin recognition and certain cash flow payments as well are delayed. So we wish the situation to improve the sooner the better and start picking up.
Sebastian Growe: All right. Thank you very much for that.
Operator: [Operator Instructions] Next question comes from the line of Tore Fangmann from Bank of America. Please go ahead.
Tore Fangmann: Hello. Good afternoon. Thanks for taking my question. Only one from my side. We've heard from competitors market that they are having difficulties in finding service personnel and also difficulties in bringing them up to speed. Could you maybe explain or describe us how the situation looks for you? Thanks.
José Luis Blanco: We don't see that. I mean yesterday, when we talked with colleagues that is in charge of Service business, this was an issue for us one year ago. It's not our biggest concern as of today. Of course, there are geographies where it's more difficult in remote areas in areas with full employment. US might be a little bit more complicated but we have limited activity there or in the very north of Scandinavia. But in the big core majority of the markets where we operate, we can handle that risk so far.
Tore Fangmann: Perfect. Thank you.
Operator: The next question comes from the line of Zgaya Anis from ODDO BHF. Please go ahead.
Anis Zgaya: Yes. Thank you. Good evening and thank you for taking my question. I have two questions. My first one is a follow-up on the cash. I just want -- I'm just wondering if share buybacks…
Anja Siehler: Anis, I'm really sorry to interrupt but could you speak up a bit, because it's very far away.
Anis Zgaya: Yes, I'm sorry. So is it better now?
Ilya Hartmann: Yes.
Anis Zgaya: Yes. Thank you. So my first question is a follow-up on the use of cash. Are you considering any share buybacks in the coming months to increase shareholders' returns? And my second question is on SANY announcement at the WindEnergy Hamburg conference in Germany. As you know SANY has unveiled two new onshore turbine models for the European market with power ratings of 7.8 and 8 megawatts. And they said that they are considering a new plant in Europe by 2026. What do you think about this? Thank you.
Ilya Hartmann: Okay. Okay. So I'll do the first one. Thank you for the question. Valid question it touches a bit on the one we discussed earlier with the colleague from Montego. Let us get through the year. Let us see how we land the outlook for next year. And then we have that conversation of use of cash in a more detailed and a more sophisticated way with facts. So today still there is a focus on working capital. There's the focus on the liquidity. If things progress, as we believe they will then that becomes a very relevant question, but I'll ask for a bit of patience to get back to this question in a quarter or two to you.
Patxi Landa: And with respect to the second question with SANY, yes, they have announced two new products 175, 185. They -- in our view at least in the German -- given the structure of the German market they lack significant levers to be successful in the market. With respect to servicing of the wind farms that will be operating 20, 25, 30, or 35 years they lack the infrastructure nor the people nor the teams to service, which leads into the financeability of the technology lenders that would be also willing to support the project for long terms that would certainly request that part. The capillarity of the market is very, very high in Germany with 400-plus different customers that are active in the market. My point is, it's very complex. It's not just going to the ITC and certify the turbine who announced that you will have a production facility in the country. The complexity of the market is not to be underestimated. Getting a position in the German market is not a short-term gain. So yes, we hear it, but we believe our view is that gaining a position in the market will take a long time.
José Luis Blanco: And the configuration of the German market as Patxi mentioned is very granular project finance long-term service contract required to sell bonds bankability. And if you analyze from a cost perspective we operate in China. We operate in Germany a German project delivered from China one-third is ex-works China; two-third are German cost. And German costs are the same cost for everybody. And Chinese cost you may argue, if we can be equal competitive or not. I think one-third of the cost. So I don't think the competitiveness is going to be dramatically different understanding of the brand and the service and the bankability. I mean, I have great respect for Chinese competitors don't get me wrong. But very granular markets where the average project size is for turbines that might not be an easy -- a plain vanilla to conquer. But great respect for the company.
Anis Zgaya: Thank you. Thank you so much.
Operator: The next question comes from the line of Vivek Midha from Citi. Please go ahead.
Vivek Midha: Thanks very much, everyone, and good afternoon. My follow-up is on volumes in the midterm and what we need to believe in for the midterm target. So it's clear that you believe in contribution from markets outside of Europe such as the US and Canada. Germany within Europe remains strong. Within Europe outside Germany which are the other markets where you are positive? Clearly, the power price situation is quite variable depending on the market. We've heard challenges in some markets like Spain. So which ones are the ones where you remain positive? Thank you.
Patxi Landa: Mainly the biggest driver will be Germany given the size and given the relative growth with respect to growth in other markets. We are operating in 20-plus markets. So hence we see overall on average a positive trend across the markets with a very few exceptions. And that is one part of the building block of the growth. Then in outside markets US that relatively speaking to our peers, we are slightly behind in the penetration of the market, and hence, the volumes in our business plan are increasing. We have touched upon that. And then there are significant markets that we also have discussed before like Canada Australia, where relatively speaking we will see also growth. So as you see given the very strong diversification in geographies that we have the increase in the volumes expected in the midterm is supported by a mix of geographies.
José Luis Blanco: As we commented in the previous call was very much our assumption to the volume needed for the midterm profitability is growing with the market in Europe not focusing in gaining market share, but growing with the market in Europe and ramping up US. I'm achieving 10% to 15% market share. And with that, we think we can achieve the volume that is needed for our 8% EBITDA.
Vivek Midha: Thank you very much. Very clear.
Operator: The next question comes from the line of Xin Wang from Barclays. Please go ahead.
Xin Wang: Hi. Thanks, Ilya. So my next question is not-allocated cost. So how should we think about modeling than this? What proportion of this is recurring cost? And would you be able to comment on the moving elements if you compare Q3 with Q2?
Ilya Hartmann: Yes. Thank you. That's a question I'll take. I'm afraid if we want to go to that level of detail, I would have to come back to you after the public call through IR team or myself if that's okay with you.
Xin Wang: Yes. Thank you. Okay. So my next question is on cash flow. I think you have €140 million cash inflow from increasing other assets not allocated investing or financing activities. This is actually 76% of your operating cash flow in Q3. Would it be possible to know what goes in there please?
Ilya Hartmann: I think those are the key ones I think the ones that also we draw out again when we go into the OpEx line when there's those FX effects. That is probably the key element to that where you would see the counterparty in the OpEx. If it goes further into smaller numbers, I would again refer you -- that's the bulk of it. But I would then again refer you to our offline conversation and including the IR team.
Xin Wang: Okay. No problem. Thanks very much. Sorry, if I can follow up maybe on one quick one. So on the signing penetration, you commented earlier that the German market is very complicated with 400 different customers. I'm just wondering wouldn't it be more difficult for SANY to break into the market if the customer base is actually more consolidated. If there's 400 different customers would it be easier for them to land...
Patxi Landa: The structure in China is completely different. This is massive wind farms low-cost CapEx driven. It's just the opposite of what the German market is. So they are used to doing business successfully. They're a very successful company that competes well in China in massive wind farms. And Germany is completely the opposite, it is very small wind farms with high sophisticated environment, complex technology regulation noise project management of very small wind farms and then the local scope that José Luis was alluding to. So it's a completely different landscape. And from that perspective, you need a completely different approach. And this is what we mean that it will be difficult for them to adapt to that.
Xin Wang: Okay. Thank you very much. And maybe one last one on employee headcount. You added 129 employees during the quarter. Are these people working on assembly lines or service people? Are they mostly in the US preparing for the restart please?
José Luis Blanco: Yes broadly. Services mainly services because services is growing and they require more people. And then it's ups and downs, depending the supply chain in the factories and so on, but mainly Services.
Xin Wang: Thanks, very much.
José Luis Blanco: Welcome.
Anja Siehler: Okay. So thank you everyone. This was the last question. So as usual I would like to hand over to José Luis for his final remarks.
José Luis Blanco: Thank you very much for your time and participation in the call and for the very good questions. As always, I would like to share our key takeaways. So first, our current development and the ambitious targets across our core markets, especially Europe, but others underpin the medium- to long-term growth trajectory of the industry and as a consequence of Nordex. We see a substantial order intake pipeline for Nordex on a stable price environment and a stable cost base. We see stability and we see order intake pipeline. The EBITDA development in 2024 is a further proof point that our profitability levels are improving and that we are on the path to sustainable profitability or to see midterm profitability. With improving performance, we now expect much better cash generation this year and hopefully, we can continue with the same momentum next year. Finally, we continue to make progress based on the above towards our 8% EBITDA target. Thank you very much for the participation in the call. Wish you a wonderful rest of the day.